Operator: Good day, and welcome to the BrightSpire Capital Third Quarter 2025 Earnings Conference Call. [Operator Instructions] I would now like to turn the conference over to David Palame, General Counsel.
David Palamé: Good morning, and welcome to BrightSpire Capital's Third Quarter 2025 Earnings Conference Call. We will refer to BrightSpire Capital as BrightSpire, BRSP, or 'the company' throughout this call. Speaking on the call today are the company's Chief Executive Officer, Mike Mazzei; President and Chief Operating Officer, Andy Witt; and Chief Financial Officer, Frank Saracino. Before I hand the call over, please note that on this call, certain information presented contains forward-looking statements. These statements, which are based on management's current expectations, are subject to risks, uncertainties and assumptions. Potential risks and uncertainties could cause the company's business and financial results to differ materially. For a discussion of risks that could affect results, please see the Risk Factors section of our most recent 10-K and other risk factors and forward-looking statements in the company's current and periodic reports filed with the SEC from time to time. All information discussed on this call is as of today, October 29, 2025, and the company does not intend and undertakes no duty to update for future events or circumstances. In addition, certain financial information presented on this call represents non-GAAP financial measures. The company's earnings release and supplemental presentation, which was released yesterday afternoon and is available on the company's website, presents reconciliations to the appropriate GAAP measures and an explanation of why the company believes such non-GAAP financial measures are useful to investors. Before I turn the call over to Mike, I will provide a brief recap on our results. The company reported third quarter GAAP net income attributable to common stockholders of $1 million or $0.01 per share, distributable earnings of $3.3 million or $0.03 per share, and adjusted distributable earnings of $21.2 million or $0.16 per share. Current liquidity stands at $280 million, of which $87 million is unrestricted cash. The company also reported GAAP net book value of $7.53 per share and undepreciated book value of $8.68 per share as of September 30, 2025. Finally, during this call, management may refer to distributable earnings as DE. With that, I would now like to turn the call over to Mike.
Michael Mazzei: Thanks, David, and welcome to our third quarter earnings call. We're pleased to report the strong results achieved during this past quarter and are particularly encouraged by the overall trajectory of the business. In the third quarter, book value remained stable, and we made considerable progress toward established objectives, which include resolving watch list loans and REO properties, and rebuilding our loan portfolio and maintaining dividend coverage. Our adjusted DE continued to cover our dividend, but we also achieved net positive loan originations for the second consecutive quarter, and also saw a meaningful growth in our origination pipeline. Together, these results demonstrate clear progress toward transforming our loan book and growing earnings. Also of note, we are observing continued improvements in the overall commercial real estate markets. Credit and lending spreads continue to tighten, and this has contributed to a steady increase in loan inquiry. Additionally, both the CMBS and CLO markets remain very highly active, showing solid new issuance growth. Coupled with a more favorable interest rate environment, these trends should create a supportive backdrop for increased loan originations. Along these lines, during the third quarter and through the first half of October, we originated 10 loans totaling $224 million. We have currently 7 loans in execution for an additional $242 million. To date, this will bring our total new closed and in execution commitments to $741 million since resuming loan originations late last year. Given this progress, we have already begun the process of preparing for our next CLO securitization. An essential part of our progress this quarter is due to meaningful developments in our watch list, as several of these borrowers have now commenced a formal sales process on the underlying properties. As a reminder, we started 2025 with a watch list of $411 million, which has now been reduced to $182 million. If successful, these borrower-led sales will substantially reduce our remaining watchlist exposure. Turning to the REO portfolio and our largest exposure, the Signia Hotel property, we continue to make gradual improvements while we address deferred maintenance and CapEx needs at the asset. Given the upcoming sporting events calendar, we expect to hold this property through the first half of 2026. Additionally, we currently have 2 REO office properties in the market for sale, and we have a specific timetable to market additional REO assets early next year. Our timetable for sale of REO assets will generate liquidity for future loan originations and drive the loan book growth toward our targeted portfolio of approximately $3.5 billion. The execution of this strategy will strengthen earnings and improve positive dividend coverage in 2026. Furthermore, we're also seeing a continued gradual reduction in our office loan portfolio, which now stands at $653 million, down from $769 million at the start of 2025. We expect an additional reduction as some borrowers have indicated intentions to sell properties in this improving market. The CMBS market has also accepted more office loans over this past year. In closing, we believe the coming quarters will be among our most productive. With each passing quarter, the combination of new loan originations, steady progress on watch list loans and the resolution of REO assets will drive the transformation of our portfolio and improve earnings. With that, I will now turn the call over to our President, Andy Witt. Andy?
Andrew Witt: Thank you, Mike. I'll start by walking through the details of our net positive originations activity and then provide further updates on watch list loans and REO assets. During the third quarter, capital deployment consisted of $146 million of total commitments across 7 multifamily loans, as well as future fundings of $11 million, resulting in total deployment of $157 million. As for repayments, 2 loans paid off in full, 1 hospitality loan and 1 office loan for total proceeds of $88 million. Additionally, there were 5 partial paydowns during the quarter, totaling $9 million, resulting in $97 million in total repayments. For the second quarter in a row, we've achieved net positive loan originations, a trend we expect to continue with increasing momentum over the next several quarters. Currently, the loan portfolio stands at $2.4 billion across 85 loans, with an average loan balance of $28 million and a risk ranking of 3.1. Our average loan balance decreased year-over-year as a result of a deliberate strategy to reduce concentration risk and diversify the portfolio. During the quarter and subsequently, we continue to make progress on the watch list loans. The watch list portion of the loan portfolio currently stands at 8%, comprised of 5 loans for a total gross book value of $182 million. Reducing total watch list exposure remains a priority as we are working actively with the borrowers to effectuate resolutions. In a number of cases, the borrowers are in the process of actively marketing the underlying properties for sale. The reduction in watch list loan exposure quarter-over-quarter was driven by the removal of the Oregon office loan, which we took ownership of during the quarter. The property is currently in the market for sale. During the third quarter, one Austin, Texas multifamily loan was added to the watch list with a gross carrying value of $23 million. Performance at the property deteriorated primarily due to the insufficient funds to complete the property stabilization. As for our REO portfolio, it stands at $364 million of undepreciated gross book value across 8 properties. We completed the sale of the Phoenix, Arizona multifamily property in the third quarter, substantially in line with carrying value. Additionally, we are currently in the market with 2 office properties, including the Oregon office property previously mentioned. REO office exposure is comprised of 3 properties for a cumulative undepreciated book value of $81 million or 22% of the REO portfolio. We continue to make progress on our 4 multifamily properties within the REO portfolio. We are actively executing on value-add business plans with respect to 3 of the properties. These plans contemplate repositioning the properties, leasing them up and then taking them to market for sale. In each case, we are making progress toward that end and expect to be in the market with 2 of the 3 properties in Q1 2026, with the remaining property to follow in the summer of 2026. The fourth multifamily property is a predevelopment site in Santa Clara, California, which we intend to hold for the time being. As we've discussed before, the broader Bay Area is seeing a resurgence in demand, and we anticipate this property will benefit as a result of the favorable market tailwinds. Multifamily REO exposure stands at $147 million or 40% of the REO portfolio. Lastly, as Mike highlighted, we continue to make progress on the $137 million San Jose, California hotel, which comprises the remaining 38% of the REO exposure. In closing, we are encouraged by the momentum generated during the third quarter and look forward to sustaining and increasing that momentum on the originations and asset management front as we head into 2026. With that, I will turn the call over to Frank Saracino, our Chief Financial Officer. Frank?
Frank Saracino: Thank you, Andy, and good morning, everyone. For the third quarter, we generated adjusted DE of $21.2 million or $0.16 per share. Third quarter DE was $3.3 million or $0.03 per share. DE includes specific reserves of approximately $18 million. Additionally, we reported total company GAAP net income of $1 million or $0.01 per share. First, a reminder regarding one of our legacy office equity investments. Earlier this year, we defaulted on the CMBS financing for our multi-tenanted office equity property located just outside Pittsburgh. During the third quarter, a receiver was appointed and as a result, we deconsolidated the assets and liabilities from the company's consolidated balance sheet. With that, we reported a GAAP impairment of $2.5 million related to the property. However, the impairment charge had no impact on our undepreciated book value as we had previously written the investment down to 0 over a year ago. Quarter-over-quarter, total company GAAP net book value decreased to $7.53 from $7.65 per share in the second quarter. We reported undepreciated book value of $8.68 versus $8.75 per share in the second quarter, slightly down quarter-over-quarter. Now I would like to quickly bridge the third quarter adjusted distributable earnings of $0.16 versus the $0.18 recorded in the second quarter. The change was primarily driven by the lender foreclosure of the Equinor Norway net lease asset, which occurred in 2Q, and the deconsolidation of the multi-tenanted office equity property previously highlighted. This was partially offset by positive net loan originations. Looking at reserves. During 3Q, we recorded a specific CECL reserve of approximately $18 million related to taking ownership of the property associated with the Oregon office loan, which Andy discussed earlier. As the loan was resolved during the quarter, we charged off the reserves. Our general CECL provision decreased to $127 million or 517 basis points on total loan commitments versus $137 million or 549 basis points reported in the second quarter. Our debt-to-assets ratio is 63% and our debt-to-equity ratio is 1.9x. Lastly, our liquidity as of today stands at approximately $280 million. This comprises $87 million of current cash, $165 million under our credit facility, and approximately $28 million of approved but undrawn borrowings available on our warehouse lines. This concludes our prepared remarks. And with that, let's open it up for questions. Operator?
Operator: [Operator Instructions] And the first question will be from Jason Weaver from JonesTrading.
Jason Weaver: Congrats on the quarter. First, I wonder if you could give me some update on your liquidity position, post quarter-to-date originations and those what you expect to -- the ones that are in execution that you expect to close? And if you're placing those recent loans into the 2024 CLO or holding those online?
Andrew Witt: Those are being held on balance sheet. Liquidity is hovering around $100 million in cash. And as we said in the prepared remarks, much of the future originations that we're doing will come out of the resolution of assets, and the equity repatriation for assets that are either largely unencumbered -- totally unencumbered or largely unencumbered today. So from a liquidity standpoint, we plan on a lot of the fundings coming out of REO resolutions.
Jason Weaver: Then just help me think about the pace of 4Q originations through the next couple of months. I know you put up the $320 million number, and I guess that's about $308 million net. But for November and December, do you expect that to be more muted or similarly active, just due to the sort of dovish posture and the progress we've seen on rate?
Andrew Witt: Similarly active, because the pipeline has been gaining some momentum, if you will, and it's been increasing over time. I don't want to jinx this, but it's a pretty good environment. We're seeing a lot more loan inquiry quarter-over-quarter. And so to kind of go to the end result here, what we need to do for 2026, and I've said this on the previous earnings call, we need to get to a loan book of about $3.5 billion. And net-net, between now and the end of next year, we need to do well over $1 billion in originations. Gross, we need to do about $1 billion -- close to $1.5 billion in originations gross to offset any payments that we have. So you're looking at something that is probably like $300 million a quarter to really keep abreast of that.
Jason Weaver: I think you're on your way.
Operator: Our next question will be from Chris Muller from Citizens Capital Markets.
Christopher Muller: Congrats on a solid quarter. So I want to start and ask about your net lease portfolio. We just saw Blackstone and Starwood jump into that space. So I wanted to ask how you guys are thinking about that space? And is this an area that there could be some growth for BrightSpire? Or are you happy with the assets you have there already?
Michael Mazzei: I'd say we're happy with the assets we have right now. We have not explored going into the triple net market. I don't think we have a necessarily competitive advantage in that market. So I think from a net lease standpoint, we'll deal with the assets we have now. If we can get an interesting bid on some of these assets, we might consider selling them. But right now, no change in plan.
Christopher Muller: Then I guess on overall sentiment in the market, do you expect to see a boost in demand if we get another cut from the Fed today? Or does that more just help continue to close that gap between buyers and sellers?
Michael Mazzei: It's absolutely improving. The commentary we had yesterday, some of our originators were very pleased to see the price of caps going down in their discussions with borrowers. It is a pretty solid environment. You've got a dovish Fed. The long end seems to be coming down because of maybe the employment numbers. So you have a sub-4% 10-year treasury. I think you've also -- you've got some lenders that are getting exhausted. And I think they've gone on several years with loan modifications, us included. And we're encouraging borrowers to either refinance or sell the properties, which is why you saw the commentary around some of the borrowers on our watch list now have those properties up for sale. And you're seeing that across the board. So it's a pretty Goldilocks environment right now. You've got still a low level of construction lending, which will hopefully help absorption late 2026, early 2027. Interest rates lower. The negative carry on these assets because the cap rates are still 5% for multifamily, in some cases, even a little less. So that negative carry environment is becoming less. So it's making transaction sales volume increase. So we're starting to see a big uptick in that, and we're starting to see an uptick in acquisition financing versus in the first half of the year, first quarter, substantially refi. So we're seeing a lot more requests for acquisition financing than we have earlier in the year.
Christopher Muller: Congrats again on a solid quarter and some great progress.
Operator: The next question is from Tom Catherwood from BTIG.
William Catherwood: So just wanted to pivot back to the answer on originations. Andy, obviously, you had mentioned out originating your repayments, and that's been the second quarter in a row you've done it. But because of REO, the loan portfolio has contracted over the last 2 quarters. With that $320 million of loans that you've talked about closed or in closing in 4Q, are we at the point where you think we can grow the loan book going forward? Or with other potential REOs in the pipeline, could it be 2 steps forward, 1 step back? What are your thoughts as far as getting beyond the takeback period so that the portfolio can get up to $3.5 billion that you're targeting?
Michael Mazzei: Andy, do you want to jump on that?
Andrew Witt: Yes. So, I think we're really at that point right now. So we've been increasing the momentum of our loan originations. The pipeline is growing, and we are pushing things through REO sale. And so that will be a little bit of a headwind. But it's really that capital that is the fuel for building the loan book. So I think you will see the loan book increase. It's increased kind of quarter-over-quarter for the last couple of quarters when you're just looking at the loan book. And so what you'll see in the future quarters is increased rate of growth, moving towards that $3.5 billion number.
William Catherwood: Andy, then in terms of your San Jose hotel, I was in the market there in September and walked the property. It looked great. It had a tech conference going on, so it was crowded. The question I have for you, though, is kind of with that packed event schedule that you mentioned for 2026 in San Jose, what could the asset contribute towards distributable earnings as occupancy ramps up? I mean this is a high operating leverage business. To us, it seems like there could be a material contribution. What are you underwriting for 2026?
Michael Mazzei: The NOI, it's still about -- it's still going to be a sub-$10 million NOI. For this year, we're coming in below that. So next year, as we said, we have some significant events occurring in the first half of the year. We also have, as we said in the prepared remarks, some deferred maintenance elevators, lobby work that needed to be done and some CapEx that needs to go into the hotel. So that dovetails well into that timeline. We have to put these in place, because if we sold the asset, any buyer would look at those and say, elevators need to be redone, and we're taking that off the purchase price. So we need to get that done. Those have been needing to be done for quite a while. But yes, our hope is that we continue to see uplift in that Bay Area. You just saw the hotels in San Francisco, 2 large 3,000 collective rooms in these 2 hotels traded. We are seeing a lot of interest in the -- generally in the Bay Area and in San Francisco. The one caution I would have is that there is a concern that if San Francisco really is coming back the way people are saying, that there may be some latent group demand to go to San Francisco. So we really need to observe that. But in terms of contribution, I would say roughly a $10 million number for NOI would get you within a stoneâ€™s throw where we think we might end up for 2026. We haven't gotten a budget yet for that year. We're running slightly behind that for 2025.
Operator: [Operator Instructions] The next question is from Gaurav Mehta Alliance Global Partners.
Gaurav Mehta: I think in your prepared remarks, you talked about preparing for a new CLO issuance. Can you provide some details on the size and timing of the expected issuance?
Michael Mazzei: Thank you for the question. Actually, because it is so close, we actually can't comment on it. It would be inappropriate. But I would say it would be within the context of what you're seeing in the CLO market.
Gaurav Mehta: As a follow-up, I think in your prepared remarks, you talked about 2 office properties listed for sale. I think one of them was Oregon. Can you provide some detail on which is the second office property you're looking to sell?
Michael Mazzei: It is one of the Long Island City properties, and we are in the process of soliciting offers for that as we speak.
Operator: Ladies and gentlemen, this concludes today's question-and-answer session. I would like to turn the conference back to Mike Mazzei for any closing remarks.
Michael Mazzei: Thank you. Well, in summary, we covered our dividend. We had positive net loan originations for the second quarter in a row. Our pipeline is improving. As we mentioned, we are in the process of embarking on a new CLO. And we anticipate, as we said in the prepared remarks, substantial progress on our watch list and REO in the coming 2 quarters. So we look forward to that. With that, I would like to thank you for joining us on the call today, and we will see you in February.
Operator: Thank you, sir. The conference has concluded. Thank you for joining today's presentation. You may now disconnect.